Operator: Good morning, ladies and gentlemen, and welcome to the Cross Country Healthcare Conference Call for the Third Quarter of 2016. This call is being simultaneously webcast live. A replay of this call will also be available until November 17, 2016, and can be accessed either on the company’s website or by dialing 800-369-7443 for domestic calls and 203-369-3271 for international calls and by entering the passcode 2016. I will now turn the call over to Bill Grubbs, Cross Country Healthcare’s Chief Executive Officer. Please go ahead, sir.
William Grubbs: Thank you. Good morning, everyone. Before we review the Safe Harbor statement, I wanted to say a couple of things first. As you know we announced a few weeks ago that Bill Burns, our Chief Financial Officer was taking a medical leave natural [ph]. I am pleased to say that he is recovering well. He is in good spirit. We don’t have a specific date to his return, although we are expecting it to be before year-end. Although, I ask Bill to focus completely on his recovery. I am sure he is listening in today. So on behalf of the Board of Directors, our executive team and all of our employees, I would like to publically send him good wishes for a speedy recovery. Filling in for Bill Burns today are two members of our finance team. Chris Pizzi is our Vice President of Finance, Corporate Controller, Treasurer and Acting Chief Financial Officer while Bill Burns is away. Also with me is Athos Michaelides, Vice President, Financial Planning & Analysis. He is also part of our M&A team and he is actively involved with Investor Relations. So with those introductions today let me turn the call over to Athos to take the floor.
Athos Michaelides: Thank you, Bill. This call will include a discussion of third quarter results for 2016 as disclosed in our press release and will also include a discussion of our financial outlook for the fourth quarter and full year 2016. After our prepared remarks, you will have an opportunity to ask questions. Our press release is available on our website at www.crosscountryhealthcare.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. As noted in our press release, forward-looking statements can vary materially from actual results and are subject to known and unknown risks, uncertainties, and other factors, including those contained in the company’s 2015 Annual Report on Form 10-K and Quarterly Reports on Form 10-Q as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of its forward-looking statements. Also, comments during this teleconference reference non-GAAP financial measures, such as adjusted EBITDA or adjusted earnings per share. Such non-GAAP financial measures are provided as additional information and should not be considered substitutes for or superior to financial measures calculated in accordance with U.S. GAAP. More information related to these non-GAAP financial measures is contained in our press release. In order to facilitate a better understanding of the underlying trends, we will refer to pro forma information on this call, giving effect to acquisitions and divestitures as though the transactions had occurred at the start of the periods impacted. As a reminder, we divested our education and seminar business during the third quarter of 2015 and completed the acquisition of Mediscan in October 2015. With that, I’ll now turn the call over to our CEO, Bill Grubbs.
William Grubbs: Thank you, Athos and thank you everyone for joining us this morning. For the past two quarters, I have been saying that I feel as good about the business as I felt since I started with the company. I stated on both occasions that our turnaround efforts and initiatives were starting to come together nicely and we were seeing that with improved pricing and MSP wins, but we had not yet seen it in our revenue number. Well, let me reiterate my statements for the third quarter. I feel as good about the company today as I felt since I started. All of our hard work we put in over the past few years is coming together, we're seeing in pricing, MSP wins and we're now starting to see it in our revenue growth. I am very pleased with our progress. So, let's get into the revenue results because it does need some clarification, obviously $215 million of revenue is well above the $200 million to $205 million guidance number. The performance was due to two factors. A significant volume of project business in the quarter above our normal levels; and two, organic growth from our recruiter investment and candidate sourcing initiative coming in faster and stronger than anticipated. I'll touch on the project revenue first. So let me step back just a minute. We generally don't do a huge amount of premium rate business because we don't think that in the best interest of our customers or sustainable for long periods of time. But we do have some project level in most quarters which we define as shorter assignment with premium rate. We don't usually call it out and it's just embedded within our numbers. But this quarter was higher than normal. So we think it's important for you to see what are underlying numbers would be without it, even though to make this is a business that we deliver it and it was there on the demand standpoint, but I still think it's important to understand what the underlying trends are. Our project revenue is related to special request the clients have because of particular issues they are facing that we believe to put patient safety at risk. Throughout the quarter was received many requests for project. And during the month of August we placed about 80 nurses on assignment and more than 75 healthcare facilities at over 40 customers. As we got into September, we received more requests and placed another approximately 107 nurses on the special projects. All-in-all, project revenue was somewhere in the $6 million to $7 million range for the quarter, which means our underlying revenue without the project business was $208 million to $209 million, still well about the guidance of $200 million to $205 million. I think those three specific points about this that I think bodes well for the future. First, obviously, the market remained strong as evidenced by a high demand generally, plus these requests for special projects when our customers struggle to find quality healthcare professionals. Certainly have not seen any slowing in the market at all, I'll talk about that a little bit later. Two, our underlying revenue growth was much better than anticipated without project business and despite considerable slowdown in EMR business both year-over-year and sequentially. So this is giving us good momentum going into Q4 and also the underlying business. And three, we were able to fulfill our normal business with better-than-expected growth and accommodate the project business -- project revenue as well. A year ago we would not have been able to deliver this place of performance, but because of the improvements to our processes, investments in new recruiters and the increase in candidate attraction we are seeing, we were able to deliver. I think this bodes really well for Q4 and 2017 that we are starting to see good results from all of these efforts. So getting back to the big picture. We grew our revenue by 10% year-over-year with Nurse and Allied that's the biggest contributor growing at 12.6% organically, organically I mean without the Mediscan acquisition or 8.1% to 8.7% if you pull out the project business. Take any number you want of those, but I am happy to see our revenue growth start to accelerate and we expect that to improve more in Q4. As I mentioned the investments we've been making in recruiters and candidate attraction are starting to pay off. We've set a goal to improve our volume growth in addition to our pricing growth by the fourth quarter and we are on track to achieve both volume and pricing growth in Nurse and Allied going forward. And I'll come back to pricing and volume a little bit later. Mediscan was the other contributor to our increase revenue with pro forma growth of 13%. Because of their school business we tend to look at their numbers from September to August, thereafter a really good start to the new school year and we expect the revenue growth to accelerate in Q4. Physician Staffing continues to have declining revenue, but I'm feeling more and more comfortable that we're on the right track. In my last two visits for the team I've seen a significant improvement in activity, but more importantly in attitude. The employees are more positive, work together better than ever and are focused on improving performance. All turnaround situation start with getting the team fully aligned and we're making great progress. Still we don't expect to get back to revenue growth until next year, but I believe we're on the right track, and we should see less of the decline in revenue in the fourth quarter. Other Human Capital Management Services is still being affected by the sale of our education seminars business last August, but even with tripping that out our executive and physician search business is still declining. We starting to see some stabilization as our new hires get up to speed and we hope to see growth in this business next year also. From overall profitability standpoint, we generated $13.1 million of adjusted EBITDA or 6.1% of revenue above our guidance of 5% to 5.5% due mostly delivered from higher revenue growth, but also from some cost savings initiative taken in Q3, Chris will talk about that a little bit later. The increased level of adjusted EBITDA translated to stronger net earnings to an adjusted EPS of $0.24, again above our guidance of $0.13 to $0.15. The market remains very strong and this quarter we passed a new all-time high in the number of orders we have in Travel Nursing and Allied. This is partly due to the strong market and partly due to new business wins. Again, this level of demand along with our new investment starting to pay off, it's a very good combination for us. So that brings me to price. We have strong pricing improvement in both Nurse and Allied as well as Physician Staffing as you would expect in a candidate driven market. Physician Staffing as a whole including our advanced practice of service line had a price increase of 4.6% with the pure Physician Staffing up by 6.1%. As we get volumes growing or even flat year-over-year in this business, we will start to see a good revenue growth. Pricing in our legacy Nurse and Allied business was very strong overall. If you include the project business, we had an 11.3% increase in price with Travel Nursing at 10%, Travel Allied at 3.6% and our branch operations at 17.6%. These are all great results, but we need to look at pricing without the project revenue for a better idea of how we're really trending with our underlying business. Without the project business, pricing grew 9.5% overall, with Travel Nursing at 9.4%, Travel Allied at 3.6% and branch operations at 13.6%, very strong quarter of the pricing. Workforce solutions continues to perform well and we won 16 new MSPs this year. Actually since I wrote the script it is actually 18 now which was a goal of -- 16 was the goal for the whole year and double the number we won in each of the previous two years, but we're at about 18 now. To wrap things up, I'll reiterate that my -- that I feel really good about where we are as the company today. I want to thank our employees for their hard work and dedication on executing on these initiatives. Well, I know we're not hitting on all cylinders yet, we don't have any business growing and we not have an optimal level of profitability, but we are on a great track to continue improving our revenue growth and our adjusted EBITDA percentage. As I said earlier all our hard work we put in over the past few years is starting to pay off. Although, there's still a lot of work to do, we do believe we're on track to achieve $1 billion of revenue and $100 million of adjusted EBITDA by the year 2020. And I turn the call over to Chris Pizzi who will review the quarter in more detail.
Christopher Pizzi: Thank you, Bill. As you just heard our third quarter performance was strong, led by improved pricing and the project business. We are beginning to see strong levels of demand in our largest segment resulting from our candidate attraction initiative. As a result our revenue, gross profit margin, adjusted EBITDA margin and adjusted EPS for the quarter all came in at or above the upper end of our guidance range. Turning to the financial results. Total revenue for the quarter was $215 million, up 10% percent from the prior year and 8% sequentially. The year-over-year increase was driven entirely by growth in our Nurse and Allied and Staffing business, which includes the impact from the Mediscan acquisition that closed in October 2015. Mediscan has continued to perform well with revenue growing by 13% on pro forma basis over the prior year. The sequential increase was driven by growth in our Nurse and Allied and Physician Staffing businesses. Gross profit margin for the quarter was 27.1%, up 80 basis points from the prior year and down 40 basis points sequentially. Moving down the income statement. SG&A expense for the quarter was $45.9 million or 21% of revenue, representing an increase of 17% over the prior year and 3% sequentially. The year-over-year and sequential increases were mainly due to the investments we are making in our business such as increasing the marketing spend to attract more candidates, increasing the number of recruiters and continue to bolster our workforce solutions team. These investments are gaining traction and we believe will continue to contribute to revenue growth in the fourth quarter and into 2017. Adjusted EBITDA for the quarter was $13.1 million, representing a 7% increase over the prior year and 19% increase over the prior quarter. Adjusted EBITDA margin for the quarter was 6.1% which was above the high end of our guidance range. We recorded a restructuring charge of $600,000 in the quarter as we implemented certain cost-saving initiatives which focused on centralizing our corporate function and optimizing our branch footprint. As a result of these actions we expect to achieve $2 million to $3 million in annualized cost saving. We recorded a $7.1 million non-cash gain in the quarter related to the change in the fair value of our embedded derivatives on our convertible note. The gain was a function of the decrease in our share price during the quarter. As a reminder every dollar movement in our share price results in approximately a $3 million change the derivative liability. Interest expense for the quarter was $1.4 million, down $200,000 from the prior year in the prior quarter. As you may recall late in the second quarter we refinance the majority of our debt structure to reduce our overall borrowing costs and expand our liquidity. In accordance with the terms of our credit agreement, we repaid $500,000 of principal on our term loan during the quarter. We are required to make quarterly principal payments on our term loan at an annual rate of 5% of the original $40 million principal balance in year one, 7.5% in years two and three, 10% in years four and five, with the remaining balance due at maturity. Depreciation and amortization expense for the quarter was $2.1 million, representing a sequential decrease of $400,000 due to the impairment charge taken last quarter. The year-over-year increase of $200,000 is due to the impact from the Mediscan acquisition. Income tax expense for the quarter was $800,000 and is primarily related to the amortization of indefinite-lived intangible asset for tax purposes. Net income contributable to common shareholders for the quarter was $14.1 million or $0.22 per diluted share as compared to $5 million or $0.16 per diluted share in the prior year. The current quarter net income includes a $7.1 million gain on an embedded derivative, while the prior year reflected a $2.9 million loss. Also in the prior year we recorded a $1.3 million after tax gain on the divestiture of our education seminars business. Lastly adjusted EPS for the quarter was $0.24 which was above the high end of our guidance range as compared with $0.16 in the prior quarter and $0.23 in the prior year. The prior year quarter benefited from achieving higher than anticipated savings from our cost optimization initiative which we started to reinvest into the business in the fourth quarter of 2015. Next, let me review the quarterly results for our three business segments. Revenue for Nurse and Allied segment was $186 million, up 19% over the prior year and 8% sequentially. The year-over-year increase was driven by the Mediscan acquisition, improved pricing, and the project revenue. The sequential increase was mainly due to the project revenue and improved pricing. Excluding the project revenue, our year-over-year and sequential growth rate would have been 14% and 5% respectively. On a pro forma basis, year-over-year revenue increased 13% due to improved pricing and the project revenue which if excluded would have increased 9%. Bill rates for the quarter were up 10.5% over the prior year and 4.7% sequentially. The year-over-year growth was driven by our Branch and Travel Nursing businesses. The sequential increase was primarily related to our Branch business. Excluding the project revenue our bill rates for the quarter would have increased 8.8% over the prior year and 3.1% sequentially. We averaged 6,954 field FTEs for the quarter, up 5% from the prior year and 1% sequentially. The revenue per FTE per day was $292, up 14% over the prior year and 6% sequentially. Segment contribution income for the quarter was $19.5 million, representing a 104% contribution margin, down 10 basis points over the prior year and up 20 basis points sequentially. Turning next to our Physicians Staffing segment. Revenue was $25.1 million, down 19% from the prior year and up 5% sequentially. The year-over-year decline was entirely due to lower volume of days filled partly offset by price increases across most specialties. The sequential growth resulted from increased volumes coupled with price increases. Segment contribution for the quarter was $2.4 million, representing a 9.6% contribution margin, down 70 basis points over the prior year and up 100 basis points sequentially. Finally, revenue for Other Human Capital Management Services segment which now only includes our Search business was $3.3 million, representing a 56% decline from the prior year. This decline was primarily due to the divestiture of our education seminars business in August 2015. On a pro forma basis Search revenue decline 23% over the prior year and 6% sequentially, mainly due to lower revenue from retained executive searches. Based on these investments we are making in the business and the demand we are seeing, we continue to believe this business will return to year-over-year growth in 2017. Segment contribution loss was $200,000 as compared with contribution income of $400,000 in the prior year and $100,000 in the prior quarter. Turning to the balance sheet. We ended the quarter with 26.7 million of cash and cash equivalents and $64.5 million of debt at par which included $39.5 million on our senior secured term loan and $25 million in convertible note. As of September 30th, 2016 we did not have any amounts drawn on a $100 million revolving credit facility. During the quarter we generated $19.4 million in operating cash flows, largely due to strength and timing of collection. As a result our DSO which excludes amount owed to subcontractors with 50 days, resulting in a four-day sequential improvement and the seven-day improvement from year-end 2015. We expect our fourth quarter DSO to be in the mid 50-day range due to seasonality. Capital expenditures for the quarter were $2.4 million. This amount includes $1.4 million incurred to the build-out about corporate offices. Excluding these build-out cost our capital expenditures were $1 million and in line with our expectations for the quarter. As we complete filled out of our corporate offices over the next couple of quarters, our capital expenditures will continue to run higher than normal. Our corporate office leases include improvement allowance from the landlord which they are required to reimburse a portion of our build-out cost. During the quarter, we received a $900,000 improvement allowance reimbursement which is included in operating cash flow. Also during the quarter, we receive $500,000 of deferred purchase price proceeds related to the sale of our education seminars business which closed in August 2015. This brings me for guidance for the fourth quarter. We expect consolidated revenue will be in $207 million to $212 million range which assumes the year-over-year growth rate range of 7% to 10% on a reported basis. This range includes continued project revenue of $3 million to $4 million. While we don't provide specific guidance for statement, we expect our legacy Nurse and Allied business to grow by low double-digits and our Mediscan business to grow by low to mid double-digits on a pro forma basis. Consolidated growth continues to be impacted by underperformance in our Physician Staffing business which is expected to decline by low double-digits in the fourth quarter. Turning to margin. Our consolidated gross profit margin is expected to be in the 26.7% to 27.2% range and our adjusted EBITDA margin is expected to be in the 6% to 6.5% range. From an EPS perspective, we expect our adjusted EPS to be in the $0.22 to $0.24 range assuming a diluted share count of 32.9 million shares. We expect our full year revenue to be in the $818 million to $823 million range which is above our previous guidance range of $800 million to $815 million. We expect our full year adjusted EBITDA margin to remain unchanged from our previous guidance range of 5.5% to 6% which would imply a full year adjusted EBITDA range of $45 million to $49 million. This concludes our prepared remarks, and at this point I would like to open up the lines for question. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Tobey Sommer from SunTrust. Your line is open.
Tobey Sommer: Thank you. Bill, kind of want to ask a question about cash flow and capital deployment. You've done a lot of heavy lifting, transforming the company and now you're -- we're more visibly seeing the effects of that. Where do you see, you know, your utilization of cash kind of fueling or pushing that transformation further? Thanks.
William Grubbs: Yeah, I think the cash we would like to use it mostly for acquisitions. If we don't do a deal by the end of this year -- this will be the first year we haven't done a deal -- and we've been very pleased with all the deals done out before, the Allied acquisition in December 2013, the MSN acquisition in 2014, the Mediscan acquisition last year, have all proven to be very beneficial for us. We're active in the market. We're looking -- I think you guys probably know by now that, you know, we're not going to do a deal just to do a deal, so we haven't found anything we like at this point, but chances are we will use the positive cash flow and our availability to do an acquisition.
Tobey Sommer: Are there particular areas that that you could highlight or would you prefer not to do at this point.
William Grubbs: No. No. I can tell you. I wouldn't mind adding onto our public and charter school business, I think special education and healthcare professionals in the school setting is a growing area and underserved and I think we could take market share in that area. We're still a little bit under scale in our Allied offering from a market share perspective, so I wouldn't mind getting more local Allied that we only have Allied in 25 to 30 of our 70 branches and always try to grow that organically or buy something that can help around that out a little bit. I think if we continue to see stability and improvement in Physician Staffing, I wouldn't mind doing something on the Physician Staffing side as well. And then we're looking at a couple of bolt-ons to some of our workforce solutions areas that we think could benefit our relationship with our customer
Tobey Sommer: Could you maybe discuss good signs or positive signs that maybe you're seeing in Physician Staffing that could point to a bottoming in a turn or is it really -- there any numbers are forward-looking indicators or is it mostly esprit de corps and level of effort that's encouraging it.
William Grubbs: It's a little bit of both. We have seen -- we obviously track a lot of different numbers. We have seen their weekly days book improved over the last four to six-week. And that's what they actually book is that week, but it could be, you know, a month out, two months out, three months out. And so the fact that they're starting to book at a higher level is obviously a positive financial trends that we'll catch up in time. But we do expect that they will have less of a declining revenue in Q4 that the way it has to start. It doesn't go from negative 20% to positive 5% or 10% in one month or the other. So we will see I think a lessening of the decline in revenue in Q4. And more importantly as you said it's kind of a esprit de corps thing I just see a change in the attitude. We do tracking of their productivity every day and I see the emails going back and forth and people are getting excited about what's happening. I've got emails about the new leadership and how the team is pleased with it. It always starts with the people and the people on Board, the revenue will come later.
Tobey Sommer: Switching gears to the Nurse business, could you talk about -- a little bit more about demand in pricing, any signs and we're not quite in the 2017, but any signs on the durability of that from your perspective?
William Grubbs: Certainly, demand -- I know the hospital results for a little bit mixed last quarter. Some pretty strong results and some not so strong. We have not seen a dent in our demand and as I said in the written script we passed an all-time high in orders we have. And I think that's the indicative of strong market and some of the wins that we've had, but we have not been a drop-off in demand at all. Pricing will be somewhat different. I thought in Q2 that we might be a little bit of topping off of our price, obviously that didn't happen and accelerated even more in Q3. But as we go into next year -- and I think pricing will hold pretty decent in Q4 from what we saw in Q3, maybe a little bit of drop-off, but not much. But as we get into 2017, especially when we start lapping Q2 and Q3 which was strong pricing quarters for us, I don't think we'll be able to maintain this year-over-year pricing increase. It will start to soften a little bit as we get into those hard cost next year.
Tobey Sommer: Just to clarify, when you say soften, do you mean go down or just the growth rate go down?
William Grubbs: The growth rate will go down. It won't be negative, but it won't be as positive.
Tobey Sommer: Okay.
William Grubbs: So our overall Nurse and Allied was up about 9% and 9.5%, you know, that may slowdown to 5% or 6% or 4% or 5% or whatever the right number is. But I think it will still have -- still an increase and -- but as not as high. The good news is we are expecting back to volume growth in Nurse and Allied in Q4 and going forward, so that will offset some of that deceleration of the pricing growth.
Tobey Sommer: Okay. Thanks. Last question for me. You've had a lot of momentum in new MSP signing, how long do you think this trend is likely to continue in the space and at the company? Thank you.
William Grubbs: I think it had a chance to continue to grow. If the market stays this type, our customers need to find a solution to a more efficient way of finding healthcare professionals. And managed service programs are a great way to do that and I think it’s kind of proven in the marketplace today. And so we still see quite a bit of demand out there. We still have a pretty big pipeline. We obviously have won 18 year-to-date which is a big number for us. So I really don't see it flowing, it's still only 32% of Nurse and Allied that -- our revenue grew so much this quarter to a little bit less than it was last quarter. And I think it can go high as 50% or 60%.
Tobey Sommer: Thank you very much.
Operator: Thank you. Our next question is from A.J. Rice from UBS. Your line is open.
A.J. Rice: Thanks. Maybe a couple questions. First of all, just Bill, explain a little more about what exactly is project revenue? It doesn't seem like it's -- particularly concentrated in a few facility like a strike project or something. What are -- what are we looking at there? It seems like it’s pretty spread out.
William Grubbs: It is. It kind of all over the map. We have some of this in every quarter. And as I said before we don't really like to push and promote premium rate business. But we -- to some reason this quarter we just started to get a significant amount of demand where hospitals, you know, said that they were suffering and we have a relationship with them and we try to help them out as best as possible. So we did wrap up and started to deliver on some of those requests. But it's all over the place. It may be that they -- they're opening a new wing and they just can't hire the permanent people fast enough. It may be that they have -- their census is going up and they cut short, could be that they have an increased level of staff turnover or an increased amount of leaves of absence. It could be a variety of things. We do periodically support a strike. We don't have a strike business. We don't plan to have a strike business, but that doesn't come into play every now and then and then some quarters as well. There's really no way to specially say what it's about. It is all over the board. And it was that 75 to 80 different healthcare facilities and over 40 customers. So the reason was different at every single one.
A.J. Rice: Okay. The Branch business had a nice acceleration. I think you have -- previous two quarters of this year you've been a sort of 5% growth and 8% growth and also sudden 17%, even if you take out the project it is still 13%. Is there anything to call out there? Obviously you got strength across the board, but I am particularly interested in if there's anything on the Branch business to highlight.
William Grubbs: We're pretty pleased with the Branch business. It has continued to grow throughout the year. A part of it I think is what we're seeing in the healthcare industry is that shift from large acute care hospitals treating patients to these local ambulatory and -- outpatient facility and also service on a local basis. So these walk-in clinic, physician offices, rehab centers and so on and so forth tend to be delivered on a local basis. And we've been driving to make sure we could take advantage of that, and I think you're seeing that in our Branch numbers. So, yeah, we're pretty pleased that. We did have a little bit of expansion as well of our local Allied business. And local was only -- used only be in about 23 of our 70 branches, I think it's now in 30 of them. So there's a little expansion of our local Allied and we want to do more of that as well.
A.J. Rice: Okay. And then on the investments we've been making to internet and otherwise social media to get broader access to recruit or to new nurses, that's obviously put pressure on the SG&A line. Is at least as a percent of revenues are we sort of a normalized run rate, or do you think it's going to continue to grow faster than revenues for a while?
William Grubbs: That's a good question. I think -- as we grow, we will continue to get leverage. But you're right. This is a different argument that says I don't want to slow down this momentum and I don't think I will slow down the investment just to chase some adjusted EBITDA percentage. I think us configuring to get market share and to keep our momentum in revenue growth going. I don't want to stop that. So it's a little bit hard to tell. I mean, I don’t think it will significantly outpace our revenue growth. I think it is at all. We did it mostly for nursing this quarter -- June onward and we do want to rollout some of the same initiatives to Physician Staffing, Mediscan and our Search business. So there may be a little bit more investment to go into next year, but I don't think the percentage flow will significantly go up from where we are.
A.J. Rice: Okay. And my last question on the seasonal pick up that you sometime see in Florida and others places where there's seasonal pattern of utilization. I'm assuming you've got some visibility on what that looks like now. Are you seeing sort of a normal seasonal pickup, below, above, how would you describe that aspect of your business?
William Grubbs: It’s a little bit hard to tell because demand is still high right now that it map normal trend. And because we're now driving more candidate flow, you know, we are probably going to block our normal trend of -- the normal drop off in seasonality from Q3 to Q4, that's going to be mitigated somewhat this year. So I think, yes, we're seeing normal seasonal trend, but we're blocking them a little bit because of new wins, candidate attraction and just a significant amount of demand overall.
A.J. Rice: Okay. All right. Thanks a lot
William Grubbs: Yeah.
Operator: Thank you. Our next question is from Bill Sutherland from Emerging Growth Equities. Your line is open.
William Sutherland: Thanks. Good morning. Bill, just one last question on this special project business, did it continue into October?
William Grubbs: Yes. We will have $3 million or $4 million of project business in the fourth quarter as well.
William Sutherland: And what do you think kind of baseline level that business has been just quarter-in, quarter-out $1 million or $2 million?
William Grubbs: Yeah, probably under $1 million. We probably do under $1 million of project business every quarter. So there is a baseline there that we tend to have, but it just really accelerated over the last four months -- actually three months August, September and October. But that's kind of offset though and I haven't said what the numbers are, but somebody -- I am surprised -- doesn’t ask me yet. Our electronic medical record business actually was significantly lower in this quarter. We only did about $400,000 which is down $4 million sequentially and $3 million year-over-year. So I'm pretty pleased that we actually made up for that headwind with normal business and then obviously the project business helped to offset that as well.
William Sutherland: So that begs the question EMRs kind of at a run rate now, do you think?
William Grubbs: At 400, no. Maybe for the fourth quarter it will not improve a whole lot. But we do have a couple of projects early next year that may bump it up again. We used to run $2 million to $3 million a quarter. We ran $4.5 million in the second quarter. I don't think it will get back to $4 million or $5 million, but it may bump back up to $1 million or $2 million a quarter. It's not that they go away I don't think. It’s just slow down. We had a couple of projects, they got pushed out a little bit and that gave us the headwind this quarter.
William Sutherland: Got it. And the decline in the contribution margin at Physician Staffing quarter, I think I see a pretty meaningful drop here, I've got my numbers right.
William Grubbs: Yeah. I don't have -- Chris can look up. I don’t have numbers right upfront my head…
William Sutherland: It looks like actually you're comping against a tough margin, I mean very high margin last year.
William Grubbs: It could be. But generally what would happen is with declining revenue you're going to have a little bit of deleverage. And then we're also because we have new management -- we are putting investment back into this business. So I’m happy to offset a little bit of the contribution, so I can get this engine back to growth again. So, you'll see a little bit of deleveraging and a little bit of investment.
William Sutherland: Okay. And then there's a lot of numbers on -- you guys gave out on the price, you know, reported versus without project. So just a clarification Nurse and Allied the pro forma growth and revenue was about in line with price improvement, is that -- so basically neutral volume?
William Grubbs: Yeah, volume -- our revenue growth in legacy Nurse and Allied, take Mediscan out of it, was predominantly driven by price.
William Sutherland: Okay. Just want to get a clarification on that. And then finally…
William Grubbs: It was 11.3% on a reported basis from a price perspective, but revenue grew by 12.5%.
William Sutherland: Okay. 1% volume.
William Grubbs: Yeah.
William Sutherland: And then last, on the investment in IT and so forth. Are you largely done this year and then would you see those annualized savings mostly starting next year, or will take some time?
William Grubbs: Well, this was -- the restructuring costs in this quarter were about cost savings. The IT project was about changing our legacy system that would eventually get us to some efficiencies, but those efficiencies were when projected come in 2018, anyway. But I think it's worth talking about the IT a little bit weak, you've kind of gone to a point where we've gone through our process mapping we have gone through the gap analysis, we've gone through our business requirements. And we're at a point now where I've actually put the project on hold. All the work that we've done that I just described will still be useful to us down the road. But between our internal resources, external resources and some competing priorities related to candidate sourcing and candidate attraction initiatives, I put IT -- we place the project on hold for a little while because I need to get these other things that I want to make sure that we have a sufficient level of resources on this project. So we probably won't incur ongoing costs in that project for two to three quarters going forward. We want some in Q4, but probably not only that part of 2017.
William Sutherland: Okay. That's it for me. Thank you.
William Grubbs: Okay.
Operator: Thank you. Our next question is from Mr. Randy Reece - Avondale Partners. Your line is open.
Randy Reece: Good morning.
William Grubbs: Good morning.
Randy Reece: I wanted to dig in a little bit about your candidate sourcing improvement trajectory, if you could give us a little bit of an idea of how much qualitatively thing have improved in terms of applicant flow? And just how -- what percentage of the business those improvements touch and what the next step will be?
William Grubbs: Yeah, I'm not sure I want particularly say exactly how much. But we have increased our candidate flow by multiple. So it's multiple times bigger than it was before. So it's been very successful. We have step -- based on the conversion rates of leads to applications and applications to placement we had set a target that would drive double-digit growth in Nurse and Allied going forward. We're exceeding those targets that we feel very good about the initiatives generating what we want. Right now expecting just Nurse and Allied and we have not rolled it out to the rest of the business, but we plan to do that early in 2017, maybe some of that in the fourth quarter of 2016. So right now it's Nurse and Allied which is, you know, 80% of our business. But we will roll it out to the other businesses as well. It's proven to be a very good initiative for us.
Randy Reece: Thank you very much.
Operator: Thank you. Our next question is from Mr. Matt Blazei from Lake Street Capital Markets. Your line is open.
Matt Blazei: Yeah, just one quick question guys. I think you said placing was actually up 4.5% physician. Can you give a volume number there?
William Grubbs: Yeah. So, I volume was down -- you have the number, Chris in your script, I think. May not be on a percentage basis. Year-over-year, Matt?
Matt Blazei: Yes, please.
William Grubbs: It was up 5% volume from -- while we are looking at, Matt anything else?
Matt Blazei: No, that's it. Everything else has been asked. Thank you.
William Grubbs: Okay. We will look that up. It was down 19% in revenue year-over-year. So the volume has to be more than that. We will get back to you on that.
Matt Blazei: All right. Thank you.
Operator: Thank you. Our next question is from Joe France from Cantor Fitzgerald. Your line is open.
Joe France: Thank you, Bill. I just want to follow-up. You highlighted in your formal remarks the MSP wins in the quarter. Could you talk a little bit more about that and tell us what the current pro forma numbers in terms of the contribution to nurse staffing revenue overall?
William Grubbs: Yeah, so, MSP revenue in Q3 was 32% of our legacy Nurse and Allied business, if you take Mediscan out and 26% of total Cross Country Healthcare revenue for the quarter. It’s actually down a little bit from last quarter because our revenue growth so much outside of the MSPs, but MSPs continue to grow quite well. Most of this is actually from previous years wins. We don't have a lot of ramp up in -- 18 we've had year-to-date. But the 18 wins year-to-date will more effect next year than they do this year.
Joe France: That's great. And then the Mediscan acquisition, I had that it's like either the end of October or the first week in November, so basically two-thirds of the last quarter. So are we talking in terms of comp about $6 million or $7 million of revenue and $600,000 or $700,000 of EBITDA?
William Grubbs: Yeah, so last year we only had two months of it. So we have about $6.6 million, if I remember correctly. And so this year the base line on a pro forma basis would have been last year would have been about $10.1 million -- $10.2 million and we expected to grow double-digit. It'll grow at 35% year-over-year. So the $10.2 million will end up being $13 million or $14 million in Q4.
Joe France: But came out there was actually in your numbers last year was you said $6.6 million.
William Grubbs: $6.6 million, yes.
Joe France: That's awesome. Thank you.
Operator: Thank you. And our last question is from Mitra Ramgopal – Sidoti. Your line is open.
Mitra Ramgopal: Yes. Good morning. Just a couple of quick questions. On the MSP wins, if you could give us a sense in terms of the sizes of the contracts you are seeing, and is it mostly from new customers, or are there any competitive win?
William Grubbs: It’s mostly new customers. And our average size of MSPs runs about $7 million or $8 million. I would guess these are about -- if you add them all and divide, it about what our average MSP is. So I think average about $7 million or $8 million per MSP.
Mitra Ramgopal: Okay. Thanks. And also just quickly on the project business I know you'd mentioned a year ago you probably would have been able to handle the business you saw. Do you feel comfortable looking out 2017, for example, if you were to see current levels pickup, do you have a pretty good handle and being able to take the business on?
William Grubbs: Yeah, I mean we have a lot of demand. We don't really need to look at. This is more about now starting to be able to deliver on the demand we have. And the fact that we grew faster on our organic growth as well as the project revenue and we were able to deliver all of it. I think it's a good sign that we can now start to take a bit more market share going forward, now that we -- this whole turnaround effort has been about improving processes, getting recruiters onboard, up to speed, increasing the number of candidates that are coming in the door, all of that I think is bodes well, that we will be able to fill higher percentage of the orders we have going forward.
Mitra Ramgopal: Okay. Thanks, again.
Operator: At this time, we have no further question.
William Grubbs: Okay. Well, thank you everyone. I appreciate you joining us this morning. And we look forward to updating you with our fourth quarter and full year results in May. Good bye.
Operator: A replay of today’s conference will be available through November 17, 2016. You may access the replay by dialing 1-800-395-7443 or 1203-369-3271. Please use the passcode 2016. Thank you for joining. You may now disconnect.s